Operator: Good day, and welcome to the Allient Third Quarter Fiscal Year 2024 Financial Results Conference Call. All participants will be in the listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Craig Mychajluk. Thank you. Please go ahead.
Craig Mychajluk: Thank you. Good morning, everyone. We certainly appreciate your time today as well as your interest in Allient. Joining me on the call are Dick Warzala, our Chairman, President and CEO; and Jim Michaud, our Chief Financial Officer. Dick and Jim are going to review our third quarter 2024 results and provide an update on the company’s strategic progress and outlook, after which we’ll open up the line for Q&A. You should have a copy of the financial results that were released yesterday after the market closed. If not, you can find it on our website at allient.com, along with the slides that accompany today’s discussion. If you’re reviewing those slides, please turn to Slide 2 for the safe harbor statement. As you are aware, we may make forward-looking statements on this call during the formal discussion as well as during the Q&A. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated on today’s call. These risks and uncertainties and other factors are discussed in the earnings release as well as with other documents filed by the company with the Securities and Exchange Commission. You can find these documents on our website or at sec.gov. I want to point out as well that during today’s call, we will discuss some non-GAAP measures, which we believe will be useful in evaluating our performance, should not consider the presentation of this additional information in isolation, or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP to comparable GAAP measures in the tables accompanying the earnings release as well as the slides. With that, please turn to Slide 3, and I’ll turn it over to Dick to begin.
Richard Warzala: Thank you, Craig, and welcome, everyone. As expected, our year-over-year performance reflects a softer top-line with revenue coming in for the quarter at $125 million. This decline has been broadly evident across most of our served markets, with industrial automation and our vehicle markets being impacted the most. This ongoing inventory rebalancing and customer utilization of excess inventory in the channel is reflected in our year-over-year revenue decline. While the market rebalancing is not something we can control, our internal focus on reducing cost is within our control, and we are unwavering in our efforts to realign our organization to be closer to our customers and to ensure we emerge in a much stronger position in the future. As reflected in our current quarter results, we have made significant strides in driving sequential margin improvements and with a strong and continued commitment, we are confident we’ll continue to improve the cost side of our business in the months and quarters ahead. Our gross margin improved by 150 basis points sequentially to 31.4%. Operating margin rose by 170 basis points to 5.3%. An adjusted EBITDA margin climbed by 130 basis points to 11.5%. This sequential improvement highlights the effectiveness of our margin focused and operational efficiency strategies. We also continued to generate a solid cash flow, adding $12 million from operations during the quarter and ended the period with more than $37 million in cash. Additionally, we reduced debt by $5.5 million in the third quarter, and more recently, amended our credit agreement, as Jim will highlight later in the presentation. Our Simplify to Accelerate NOW actions are driving measurable results, as noted on Slide 4. We are advancing our goal to streamline operations and generate sustainable cost reductions. To date, we expect this initiative to yield $10 million in annualized savings with the first $5 million implemented late in the second quarter and the remaining $5 million currently in progress. This has contributed to our recent margin improvements and is supporting our profitability. Jim will further discuss the restructuring charges related to these actions. The program has focused on refining our organizational structure and, as I mentioned, to be closer to our customers, reducing redundancies and optimizing production processes, which has contributed to early operational efficiencies. Additionally, by simplifying our operations, we are enhancing agility. This means faster time to market, improve customer service, and stronger competitive positioning across our key industries. Looking forward, we’re actively identified further cost rationalization opportunities to ensure continued alignment with both market conditions and customer needs as we head into 2025. These ongoing efforts will position Allient to merge from today’s macroeconomic environment with stronger earnings power, greater operational flexibility, and the capacity to capitalize on future growth. With that, let me turn it over to Jim for a more in-depth review of the financials.
James Michaud: Thank you, Dick, and good morning, everyone. Starting on Slide 5. Second quarter revenue of $125 million was down year-over-year by 14%. The impact of foreign currency exchange rate fluctuations was nominally favorable by $600,000. In the Vehicle markets, we saw a 38% decline largely due to a sharper than expected downturn in power sports demand and our efforts to refine our focus on margin enhancing applications. Most other vehicle sub-verticals held relatively steady year-over-year. Industrial markets decreased by 9%, despite notable gains in power quality sales to the HVAC and data center sectors along with additional contributions from our recent acquisition. These gains were offset by software demand in industrial automation, where our largest customer undertook significant inventory destocking. Our medical markets also softened, outside of surgical instrument sales, which were a bright spot. We experienced persistent weakness in medical mobility products, a trend that has continued over the past few years and was further impacted by the bankruptcy of a major customer in this space. Lastly, in Aerospace & Defense sales declined due to program timing. On a positive note, we are actively pursuing several promising opportunities on the defense side, which we anticipate will contribute to growth in the near future. Slide 6 illustrates the shift in our revenue mix across markets over the trailing 12 months with key catalyst driving each change, the industrial sector remained our largest market contributing 47% of the trailing 12-month sales marking a 400 basis point expansion. Over the past year, industrial automation initially benefited from supply chain improvements, but has recently slowed as inventory levels reset across the industry. In the Vehicle market, trailing 12-month revenue declined as higher demand in commercial automotive was offset by lower demand in power sports and construction. Both medical and aerospace and defense also saw decreases largely due to the same factors impacting our quarterly performance. Finally, our distribution channel, a smaller component represented 4% of total sales over the trailing 12-month period. As shown on Slide 7, gross profit was $39.3 million with a gross margin of 31.4%. Our year-over-year margin chain reflects both top-line softness and an unfavorable mix, including the replacement of higher margin industrial automation sales with lower margin contributions from our recent acquisition. Looking ahead, we expect our simplification process along with the integration of our recent acquisition of SNC and its added capacity to drive margin improvement over time. The 150 basis points sequential increase in margin was largely due to a favorable mix, despite lower overall sales. On Slide 8, we reported operating income of $6.6 million with an operating margin of 5.3%. In the third quarter, we incurred approximately $0.5 million in restructuring charges, bringing the year-to-date total to $1.9 million. These charges are primarily cash based and are largely tied to severance expenses. We expect the total cost of reduction efforts to date to range between $1.9 million and $2.4 million. These actions underscore our commitment to building a stronger, more efficient foundation for sustainable growth. Operating costs and expenses accounted for 26.1% of revenue, an increase of 160 basis points, with 40 basis points directly attributable to the restructuring. Despite current market challenges, we remain focused on improving profitability. Sequentially, operating costs and expenses as a percentage of revenue improved by 20 basis points following our cost reduction measures at the end of the second quarter, though partially offset by the recent restructuring expenses. Slide 9 shows the bottom-line results. In the quarter net income reached $2.1 million translating to earnings per diluted share of $0.13. Adjusted net income was $5.1 million or $0.31 per diluted share, which excludes non-cash amortization of intangible assets as well as business development restructuring and realignment costs. Our effective tax rate for the quarter was 22.6%, and we continue to expect our full 2024 tax rate to range from 21% to 23%. Internally, we use adjusted EBITDA to measure our progress in operational performance. Adjusted EBITDA was $14.4 million or 11.5% of revenue, and we are targeting further EBITDA margin improvement to ongoing simplification efforts. Sequentially, adjusted EBITDA increased 4% or $0.5 million and rose 130 basis points as a percentage of revenue. Let’s now focus on cash generation and our balance sheet with Slides 10 and 11. Year-to-date cash from operations reached $29.5 million, a 9% improvement over the prior year, driving worker capital efficiencies and non-cash adjustments that helped offset lower net income. Capital expenditures for the 9 months totaled $6.9 million, while we continue to invest in growth opportunities, we have refined our capital allocation priorities to focus on high potential high value projects. Accordingly, our 2024 capital expenditure forecast has been revised down to be a range of $8 million to $11 million from the previous $11 million to $13 million. Inventory turns decline to 2.7 since year end and days sales outstanding increase to 61 days. Managing inventory remains a top priority though we continue to navigate the effects of extended lead times from orders placed up to a year ago. Due to prior long lead times, we are still receiving inventory for products ordered before the recent softening in sales, which has led to elevated stock levels. We are actively working through this inventory to align with current demand conditions. Total debt at approximately $231 million was up from year end 2023 due to the SNC acquisition, though, we paid down $5.5 million in the quarter. Net debt at about $194 million represents a net debt-to-capitalization ratio of 41.6%. As Dick mentioned, we amended our 2024 credit facilities adding flexibility in our financial planning through the fiscal 2025. The amendments included less restrictive covenants and expanded EBITDA add-backs. With these updates, our leverage ratio stood at 3.32. Additionally, we entered into a new interest rate swap, hedging $50 million of debt over a 3-year term, helping protect against potential interest rate volatility. These adjustments combined with the new interest rate swap reinforce our ability to execute our Simplify to Accelerate NOW strategy with financial discipline and effective interest rate management. Our primary financial goals remain focused on strengthening cash conversion and reducing debt. With that, if you advance to Slide 12, I will now turn the call back over to Dick.
Richard Warzala: Thank you, Jim. Our third quarter order rates reflected some anticipated challenges with orders down sequentially as customers adjust inventory levels and shift the timelines of certain active projects. We believe the shift was influenced by ongoing higher interest rates, political uncertainties, and the election cycle, which are impacting customer purchasing decisions. Additionally, the $31 million defense order received in Q3 last year will cover approximately 18 months of demand and is reflected in the year-over-year comparison. Despite these factors, our diversified portfolio remains resilient with solutions align with key macro trends like artificial intelligence and data center growth, electrification, energy conservation, and automation. Importantly, while some orders have been delayed, cancellations have been minimal and are being managed appropriately. We do expect a moderated pace of orders to persist in most markets into 2025, with some exceptions reflecting the very positive impacts in the growth oriented and macro trends, most notably, data center expansion, as we previously mentioned. Our backlog has declined as a result of the recent order softness and improved supply chain conditions, which over the last year has enabled the reduction in lead times for many of our supplied products. In the meantime, we are actively implementing cost savings initiatives and remain confident in our strategy and long-term potential. Our outlook is outlined on Slide 13. Looking ahead, we are continuing to drive cost savings to our Simplify to Accelerate NOW program with $10 million of annualized savings and process to date, and we are identifying further opportunities as we move into 2025. For the fourth quarter, we anticipate a revenue run rate slightly below our Q3 level, given the impact from typical year end seasonality and continued inventory rebalancing at some customers. While we expect software demand to persist through the first half of 2025 in most markets, our focus on operational efficiency and cost management positions us to navigate these headwinds effectively. We are also prioritizing cash generation and debt reduction aiming to reinforce our financial flexibility. As we approach mid-2025, we expect uncertainties to decrease, supported by normalized inventories, potential of stabilization in interest rates and a more consistent order flow. These improvements should allow us to return to stronger revenue levels and improved operating margins, as we look to capitalize on the future growth opportunities available to our company. With that, operator, let’s open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Greg Palm: Yeah. Thanks. Good morning, everybody. I guess, maybe Dick, just thinking back 3 months ago when we talked last, curious if you look back on the comments then and where we are now, anything that surprised you one way or the other? Or is everything kind of playing out as expected?
Richard Warzala: Yeah, I think it is playing out as expected, Greg, and I think it’s the numbers and internally the operational improvements that we’ve identified and the actions taken by our team, I think they’re accelerating and they’re beginning to generate some excitement internally. So, I think they’re playing out as we expected.
Greg Palm: And are you able to maybe quantify the amount of sort of the impact from inventory reductions and what I’m getting at is [all or else] [ph] no change in sort of the macro backdrop. What’s a normalized level of revenue look like when you’re through the destocking?
Richard Warzala: Well, it’s a good question. All right. Well, I think what we do is if we look at it from a – and just take one of our major customers, okay, I think, Jim mentioned our largest customer and maybe which has had the greatest impact on us, because of inventory restocking, channel rationalization and so forth. But I would tell you that from what our run rates that we’re seeing right now in third quarter and what we expect here through maybe fourth quarter and early into next year. There’s an opportunity for us to see a couple of million-dollar a month improvement in run rates, that’s what we’re seeing. And I’m comparing that to Q3 and expected Q4 and early Q1 of next year, that gives you a feel for what we’re down.
Greg Palm: And that’s one specific customer?
Richard Warzala: That’s one specific customer.
Greg Palm: Wow. Okay.
Richard Warzala: And then I think, yeah, it’s been more than that and on an annualized basis, on an annual basis, but I do think that we’re going to start to see some improvement and blending some optimism into that. Although we do feel that there is some definite decrease will continue for the next couple of quarters. Lower level, so…
Greg Palm: Yeah. Okay. Understood.
Richard Warzala: Yeah. And then add to that, we do – we see some momentum coming and I don’t want to – I want to make sure that we get it out there in front of everybody, because we are quite excited about it. But the artificial intelligence and data center expansion, I mean, we play a role in that and we do see some pretty significant opportunities rolling forward. And so, it’s been pretty solid for us, the – that happens that’s in our power quality side of our business here, and we see some increased demands and coming into the future. And so that’s one of the real bright spots we have going forward. So artificial intelligence and the data center construction is certainly a big upside for us.
Greg Palm: Since you brought it up AI, what are your sales into that end market specifically, and can you talk about kid of what your growth rates have been or what your growth rates may be, and what kind of visibility levels? Obviously there’s a lot of excitement in that area.
Richard Warzala: Yeah. Well, I – we don’t – we haven’t broken that out in the past, so I guess I would hesitate to do that right now, Greg, to talk about it. But I can just tell you that, it has an impact on us, but it’s exponential growth that we’re talking about here, and it’s in the millions in the high-single-digits or low-double-digits.
Greg Palm: Got it. Okay. If I could just shift gears a little bit and talk about the cost cutting program or just to simplify to accelerate now, in terms of what kind of benefits you’re seeing, not to the P&L, but internally with the excitement. And then in terms of the P&L impact specifically. So there’s another $5 million that flows through Q4, it sounds like maybe there’s even more still yet to come. [Technical Difficulty]
Richard Warzala: …we tend to always look at it from a cost standpoint and the impact in the cost. The restructuring that we’re doing is aligning us much more closely with our customers. Internally, we’re making organization changes and which are a greater focus on vertical markets that we feel have significant opportunities for growth. So, yes, the cost reductions are in place, there’s more to come and we’re continuously working on those, and we do have a great excitement about those. But even more so, the potential to get us realigned and refocused and hold people accountable respond to our customers faster, more closely aligned to our markets and customers is the real opportunity here, and that’s top-line growth that will generate – it’s very focused top-line growth on, I’ll call them, better margin opportunities that will generate some significant growth in the future. That’s the real excitement to come.
Greg Palm: Are you seeing any tangible signs of that yet, or is it mostly something that’s still yet to come in terms of the top-line?
Richard Warzala: I’ll tell you that tangible opportunities is, what we can measure right now to say that are we getting the opportunity to engage in some high value activities that can drive the growth? And the answer is yes. So, some can be converted on a short-term basis, but the majority are still longer-term and in our focus markets. So, yes, I think we’ll see some uptick and we have some opportunities, but mostly as we get designed in on new programs and we’re leveraging the full technology base and product base of the company. So, for example, I think we’ve used in the past is defense. And if you go back to a year ago when we launched Allient and we talked about the pillars of technology for motion controls and power. And we said, look at the tip of the house, and that’s our vertical market access. So just recently at AUSA, we came out and we’re marketing our company, presenting our company as Allient defense, and it really struck a chord with our customers as they – we had several meetings, many meetings outside of our booth and inside our booth that clearly showed what value we can bring. And there were some ahas in that, because we have a pretty unique position in offering integrated, compact, lightweight solutions to the marketplace. So electrification, integration of solutions as well as the light-weighting technologies drew some considerable attention, and I think opened up some doors there that while some will convert into a lower level of revenues now, the longer term opportunities was pretty – was very significant. That’s just an example of what I’m talking about. But this is now occurring in each operation to truly get us closer to our customers, closer to our markets. And I’ll tell you that we’re a hell of a lot more selective now than we were in the past about which opportunities we’re going to chase. We’ve learned a lot, and we make sure that going in, we’re picking the right markets and the right customers. So some of that rationalization that’s going on right now, I think, will be healthy and good for us in the future as well. So that’s where the excitement comes in, and that’s an example of it.
Greg Palm: Yeah. Okay. That’s really helpful. I’m going to leave it there. Congrats on the improved results here, and best of luck going forward.
Richard Warzala: Thank you, Greg.
Operator: Thank you. [Operator Instructions] The next question comes from Ted Jackson from Northland Securities. Please go ahead.
Edward Jackson: Thank you. Good morning.
Richard Warzala: Good morning, Ted.
Edward Jackson: So, I got a few questions. I’m going to start on the industrial side, Dick, and I don’t know if anyone else did. But I mean, if you listen to the, like, we just talking about Rockwell, Rockwell reported this morning. And, basically, with regards to like the industrial automation and kind of the things that are, I would say, relevant to Allient, they don’t look for a very good quarter in the next quarter, but then they’re expecting that business to grow sequentially through the remainder of their fiscal 2025. And so taking that as a backdrop, when you look at your business and you’re getting through this normalization of you would, in terms of inventory within that channel, you not saying Rockwell, but just the industrial channel. Is Rockwell a good kind of bogey to think about with the backdrop of that portion of your industrial business that perhaps the next quarter will again be lackluster, but then from there we’ll start to see a build off of that?
Richard Warzala: Yeah. So I think it is very clear to everyone that they’re our largest customer. So in the conversations that we just…
Edward Jackson: Trying to be polite.
Richard Warzala: Yes. I know you are and I appreciate it. But I think I do appreciate, again, bringing it up, because certainly. And I think, certainly, when you see the impacts after Rockwell has their conference calls and talks about their projections for the future, that has a direct impact on us. And it’s not just one of our operations, it’s multiple products and multiple operations. And so, the impact as they go and grow and expand and their business volume goes up, we go along with it.
Edward Jackson: And would you…
Richard Warzala: So that’s fine.
Edward Jackson: Over the longer term you would go along with it, but so like then we’re going to just talk hypothetically, so we get through the next quarter and then Rockwell start showing growth within most, many of the verticals that play to you. Would there be – is there some sort of – would you go hand in hand with that? Would there be – are you a leading indicator for their growth? Would you trail it? Do you understand what I’m saying kind of how would I think about it in terms of a timing for them relative to Allient?
Richard Warzala: Yeah. Well, there’s two things. So they’re, obviously, Rockwell’s business is an automation, and they’re doing major automation projects. So they pull products from many different suppliers as well as their own product base. And it really, if they’re recognizing revenue, okay, as long as they’re recognizing revenue, they’re doing installations, and then we would be pulled along with that. So you have to be careful. There’s three sections of their business or segments that they report in their business. And the one that will – if it’s going up and it’s the hardware side of it, so the hardware, software, it’s the equipment side of it is that starts increasing, we will increase along with that. So it’s the installation of new automation projects that are occurring, as that occurs, that’s when you will see us tagging along. But, of course, the timing of that is they get an order and they have to plan for the installation, and they have to go out and acquire or build the products that are needed for the install for the project. We’ll be needed in the installation prior to them recognizing revenue is what I would say to you.
Edward Jackson: Okay. Okay. That’s helpful. And then…
Richard Warzala: I would also caution you though, that we don’t want to get overexcited here, because the inventory adjustments that we’ve seen there in the channel, having inventory in the channel, it’s been significant. So hopefully that’s beginning to settle down and we’re starting to see a return to normalcy, and that will have a – get us on a, we’ll call it, a steady state demand versus the hockey stick demand and then the sharp drop offs that we’ve seen. So it’s been a pretty steep increase and a pretty steep decrease. And we’re looking for that steady state, ongoing steady demand that we can plan for and work towards, and the numbers that I gave in the prior question from Greg, are reflective in that returning to a steady normal state, not the hockey stick demand that we saw last year.
Edward Jackson: Well, it sounds like from their call that they’re expecting that to start in the second, third quarter of next year, just on calendar year, just say. My next question goes into…
Richard Warzala: Let me kind of clarify this though, second, third quarter of their fiscal year? Because they – yes, okay, because their fiscal year’s ended.
Edward Jackson: Yeah, yeah. No, I’m saying calendar 2025. So my next question…
Richard Warzala: [Indiscernible]
Edward Jackson: It just ended. But I want to move over to the vehicle market. So the other major customer that you have with, is it within that market and it’s in power sports, and I mean, I’m not going to get into the names. You can talk to it if you want. So there is clearly that business is that market in aggregate. I mean, anyone who participates that in that market, no one’s expecting to see any kind of really, I mean, they’re hoping to see it stabilized by the time they exit 2025. When I look into the vehicle market and you highlighted your kind of three areas which were commercial vehicles, power sports, and construction. I guess the question I have is, because, let me go step back and reframe this question is, those are kind of the three areas that you brought up, that look for commercial vehicles, looks like if you look at the data that’s being kind of put out there, it looks like it’ll be down, maybe as much as kind of 10% in 2025, before it turns around and starts growing as we move into the next cycle, if you would of environmental regulations. The power sports market looks like it’s kind of going nowhere. The construction market, I mean, I think most people see it as a near-term softness and then seeing it kind of come back around, if you would, in the second half of the year. So my question is, do you agree with all of those types of kind of macro views? What is the mix in your vehicle market between the two? Even if you just rank them between like the largest to the – like this is the biggest segment, the second and the third. And I mean, I’ll just leave it at that, that’d be kind of one, just to get a better handle in terms of where your exposures are in there to help me kind of think about when that market’s going to turn around for you?
Richard Warzala: Sure. Fair question. So I think at this point in time, we can look at the two markets that you talked about from a vehicle standpoint, which we reported vehicle as automotive and power sports as being quite similar now in their profiles. I would tell you that the maturation that we’ve seen in the power sports market now the channels to market that we now see that those are going through very competitive prices have come down so forth. And, of course, we feel the same as we’re supplying to that. But I will tell you in aggregate or in whole, while our power sports business has gone down, our internal automotive business is offsetting some of that. So the major projects we won in the past that we’ve talked about, have kicked in, and we are shipping to those, so we’ve got a balance there between those two. But the margin profiles although, when you look at them, they’re getting closer and closer to each other. Although, yes, the power sports is still higher, but they are getting closer and closer. The rest of them – what you said is very reflective of what we see as well. And we do expect some turnarounds and you said construction, we’ve seen that downturn. Okay. And some of the agricultural equipment we’ve seen the downturn. But we do expect those to return to improve conditions as we move out into the future. But I think, what you stated was very accurate, just saying that the sum of our business and automotive and power sports is kind of one’s up and one’s down and offsetting each other, but the margin profiles are a little bit different, which still impacts our bottom line.
Edward Jackson: Okay. And then my last questions are really just more on accounting side. So shifting back over to inventory, in some of the comments that you made there, how should we think about inventory in the fourth quarter given the commentary that you put in the presentation, and then how would we think about how it trenched through for 2025?
Richard Warzala: Yeah, I think what you’re going to see is a continued reduction. And the reason why I say that is we have an internal initiative, obviously, to continue to manage the balancing act that we’re of the long lead time items, I think that’s going to start to correct itself towards the end of Q4 and into early 2025. But, listen, our inventory decreased on an organic basis if you exclude our recent acquisition by $7 million since year-end. So I think, we’re going to continue to see some real declines in our inventory and the main focus of ours.
Edward Jackson: Okay. I had thought that was, we’re kind of in the expectations, but the commentary just gave me pause. And then my last question, and I will get out of line is on the $50 million debt swap. What’s the rate that you got on that swap?
Richard Warzala: 3.32.
Edward Jackson: Perfect. Okay. Thanks very much. And great job in terms of working through a really difficult macro environment. It was a nice quarter.
Richard Warzala: Thank you, Ted. Thank you.
James Michaud: Thank you.
Operator: Thank you. The next question comes from Michael McCroskey from Principal Securities. Please go ahead.
Michael McCroskey: Good morning, gentlemen.
Richard Warzala: Hello, Michael. How are you?
Michael McCroskey: I’m doing fine, doing fine. You all picked up quite a bit of new coverage, and so usually questions get picked up. I’m usually on your quarterlies. But appreciate everything you all are doing before I ask my question. Your all’s transparency through this challenge has been consistent with how you all have handled things in the past, and it’s very much appreciated.
Richard Warzala: Well, thank you.
Michael McCroskey: Can – I know you don’t like giving – when we start getting into future projections, that’s always problematic, but in a lot of the covenant changes, can you give a little more flesh out to what the thought process was, those landing numbers? Can you help a little bit with, where those numbers came from and how you see that progressing through this coming 12 months where that covenant’s changed?
Richard Warzala: Yeah, sure. I think as you can imagine with the uncertainty just coming off the election cycle, the continued uncertainty surrounding when the feds may or may not cut and how much they cut and the timing of when they do that when we see the return to normalization of our customers ordering pattern from us. We attempted to try to forecast all that out. And, I think that’s reflective in the agreement that we undertook here in the third quarter. So I think it was, to ensure that we had flexibility, we’re investing in our reorganization activities and the like, and trying to make sure that we have no challenges as we look forward and we continue to manage the headwinds. I think you, that’s reflective in the new covenants.
Michael McCroskey: I assume that you’ve been working on that. What sort of timeframe did that covenant change start in, if I can ask?
Richard Warzala: It started in the Q4 and then goes to the Q4 next year.
Michael McCroskey: No, I mean, looking back as far as when you started it to negotiate that change. I’m just trying to get an idea of…
Richard Warzala: At the end of Q2.
Michael McCroskey: Okay. Between now and then, especially, with that 4.5 number. Yeah, can you comment as to any change you’ve seen between now and then as to how wide that number is for you, or what you’re seeing is that changing looks like a pretty wide both.
James Michaud: It is. But I think, as I said, given the uncertainty that I just mentioned, I think it gives us comfort to be able to do what we need to do, again, to manage the headwinds. So I don’t think there’s anything that’s changed relative to that.
Richard Warzala: Yeah, I think something else important in there that, Michael, and it’s in the press release is that we also in the previous agreement, if we made we had rationalization efforts internally and we had one-time cost, we weren’t given any credit for those. And we do have up to $4 million on a trailing month basis now that we do get credit for. So that’s another important aspect of the change. Because we knew we were going into some significant cost reductions, but it was going to cost us upfront to go forward with those, and that’s just as important to get those in because they would not have been recognized and those costs would be held against us in the current agreement. But, I think to answer, you’re looking for more, maybe more clarity and granularity on the multiples. And if we’re going to be hitting at the top of those, maybe – Jim, that’s what you do, he’s looking for is more.
James Michaud: Yeah, I mean, I think that we have some, I’m going to call it, a cushion to ensure that as we, again, manage what I’ve talked about. I’m not seeing that we’re going to test those significantly. I think we have the, I’m going to just call it, flexibility to manage, any continued costs that we incur with our reorganization efforts and the like. It’s like anything ensuring that the timing of our $10 million in savings and we feel very good about that. And so, again, I think the amendment really reflects where I think the dial’s going to land, and I think there’s some flexibility in that.
Michael McCroskey: Again, thank you all for your transparency on this.
James Michaud: Thank you.
Richard Warzala: You’re welcome.
Operator: Thank you. The next question comes from Robert Van Voorhis from Vanatoc Capital Management. Please go ahead. Robert, your line is unmuted. Please proceed with your question.
Robert Van Voorhis: Hey, good morning, guys. Sorry about that.
Richard Warzala: Good morning, Robert.
Robert Van Voorhis: So I just have a pretty probably uninteresting question and it’s pretty quick, but can you just comment on the, I guess, you could say the sustainability of mix this quarter versus last quarter? Because I know you called it out in the press release, it was a pretty big impact in terms of gross margin. So I guess moving forward, how do we think about what normalized mix is? Is it more representative this quarter or is it closer to last quarter? Or just any commentary on that would be helpful.
James Michaud: I would say that, as Dick mentioned, we’re pretty excited about what’s happening in the data center space. We’re expecting continued growth in that area. And that’s a positive for us. Obviously, as we continue to, as Dick mentioned, look at – those opportunities that we look at, we’re being more selective. So I would tell you that we’re excited about what we’re seeing into the future. And as we’ve mentioned on several quarters, it’s a main focus of ours to continue to enhance our margin, and that’s really by being selective in what projects we take on and the type of projects we take on.
Robert Van Voorhis: Got it. And then my second question, and I joined the call a little late, so I apologize if I’m repeating any information. But in terms of the second $5 million of cuts from the simplified program, can you comment as to where they implemented sort of later in Q3 or the beginning of Q3, or just any commentary on that would be helpful?
James Michaud: So the first $5 million, as we mentioned happened towards the end of Q2. We’re well underway with our incremental $5 million to achieve our $10 million. Again, I would say that those were towards the end of Q3. So I think that’s the way to think about it.
Robert Van Voorhis: Got it. That’s helpful. That’s all my questions. Thanks.
Richard Warzala: And remember too though, Robert, that there are some offsetting onetime costs that will impact. We’re not going to realize though we’re going to have the one-time costs. But, of course, in the adjusted EBITDA, we’ll pull those out.
Robert Van Voorhis: Yeah. Got it. I appreciate it.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back over to the management for closing comments.
Richard Warzala: Well, thank you everyone for joining us on today’s call and for your interest in Allient. We will be participating in two upcoming conferences: The Baird Global Industrial Conference on November 13 in Chicago, and then The Raymond James Small Cap Summit on November 18 in California. As always, please feel free to reach out to us at any time, and we look forward to talking with you all again after our fourth quarter 2024 results. Thank you for your participation, and have a great day.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.